Operator: Thank you for holding. Welcome to the Lexicon Pharmaceuticals’ First Quarter 2013 Conference Call. At this time, all participants are in listen-only mode. There will be a question-and-answer session to follow. Please be advised that this call is being recorded at Lexicon’s request. At this time, I would like to introduce your host for today’s call, Mr. Alex Abuin, Vice President, Communications and Alliance Management. Please go ahead, Dr. Abuin.
Alex Abuin: Good morning, and welcome to the Lexicon Pharmaceuticals’ first quarter 2013 conference call. I am Alex Abuin, and with me today are Dr. Sands, Lexicon’s President and Chief Executive Officer; Dr. Pablo Lapuerta, Executive Vice President and Chief Medical Officer; Dr. Brian Zambrowicz, Lexicon’s Executive Vice President and Chief Scientific Officer and Jeff Wade, Lexicon’s Executive Vice President of Corporate Development and Chief Financial Officer. We expect that you have seen a copy of our earnings press release that was distributed this morning. During this call, we will review the information provided in the release, provide an update on our clinical programs and then use the remainder of our time to answer your questions. The call will begin with Dr. Sands, followed by Dr. Zambrowicz and Lapuerta, who will provide an update of our clinical programs and by Mr. Wade, who will review our financial results for the first quarter of 2013 and discuss our financial guidance. We will then open the call to your questions. If you would like to view the slide for today’s call, please access the Lexicon website at www.lexpharma.com. You will see a link on the home page for today’s webcast. Before we begin, I would like to state that we will be making forward-looking statements including statements relating to Lexicon’s research and development for LX4211, LX1033, Telotristat etiprate, also known as LX1032 and other drug candidates and the therapeutic and commercial potential of those drug candidates. This call may also contain forward-looking statements relating to Lexicon’s future operating results, financing arrangements, cash and investments, discovery and development of products, strategic alliances and intellectual property. Various risk may cause Lexicon’s actual results to differ materially from those expressed or implied in such forward-looking statements, including uncertainties related to the timing and results of clinical trials and pre-clinical studies of our drug candidates, our dependence upon strategic alliances and ability to enter into additional collaboration and license agreement, the success and productivity of our drug discovery efforts, our ability to obtain patent protection for our discoveries, limitations imposed by patents owned or controlled by third parties and the requirements of substantial funding to conduct our drug discovery and development activities. For a list and description of the risks and uncertainties that we face, please see the reports we have filed with the Securities and Exchange Commission. I will now turn the call over to Dr. Sands.
Arthur Sands: Thank you, Alex. Good morning everyone and thanks for joining us. This morning we will be discussing the advances we made in our pipeline over the past quarter and also some of the most recent events in the area of Type 2 diabetes as they pertain to our areas of interest in [SOP] in addition. In addition, we will discuss our advancement of our Type 1 program which was also announced this morning as it’s progressed into the expansion phase of that trial and then provide some general update with regard to our current understanding of the timing of results that we will have this year in ulcerative colitis and our IBS trial. So that will be the general outline of the call, let's move then directly into discussion of LX4211 and I'll turn it over to Brian.
Brian Zambrowicz: Thanks Arthur. As we all know LX4211 is the first (inaudible). These represents two important insulin independent mechanism lowering blood glucose levels and SGLT1 component of the 4211 mechanism is unique and it provides us multiple opportunities to differentiate from selective SGLT2 inhibitors for both efficacy and safety. A lot has happened in the field since our last quarter’s call and I will highlight all the changes to this slide today. So likely be interesting in discussing some of these developments in the Q&A portion of this call. I think most importantly canagliflozin or Invokana the FDA approved it recently. The SGLT2 inhibitors are now the newest class of oral anti-diabetic agents in the United States and it’s also given us an opportunity to study their label which helps clarify our opportunities to differentiate with our 4211. Secondly, BI and Lilly have recently filed their NDA for empagliflozin; we also very recently saw Merck and Pfizer partner around ertugliflozin a very highly selective SGLT2 inhibitor. I think this indicates that there is both the comfort level and a general acceptance of the importance of the SGLT2 mechanism for the treatment of diabetes. And finally, Novartis recently moved the dual SGLT1 and 2 inhibitors, LIK066 into Phase 2 clinical development; I think this really indicates that our work has created interest in dual inhibitors and specifically the SGLT1 mechanism of action in particular. It’s exciting that 4211 is sourcing class for these agents. And with that I am going to turn it over to Pablo Lapuerta.
Pablo Lapuerta: Thank you, Brian. I am pleased to note progress in our placebo controlled study in Type 1 diabetes. This is a study that will help us (inaudible) Type 1 diabetes. Our focus in this study will be on the total daily amount of exogenous insulin required. Our vision of the product profile is administering LX4211 in Type 1 diabetes or allow a reduced insulin regiment that's simpler and that may allow patients to spend less time in hypoglycemia. Our secondary objective will be to assess the effects of LX4211 individually on Bolus insulin and individually on Basal insulin and other parameters of glycemic control. Next slide, as described in our press release, we completed an open label pioneer group of three subjects; these three subjects came into clinic and had reductions in their insulin dose and had LX4211 put on board. And unfortunate that this was done safely and gave us some vision for moving forward with confidence. Now we can go forward into an expansion group, where we will have up to 30 subjects randomized to the placebo of LX4211 400 milligrams at approximately four sites in the United States. The next slide provides the study schematic; the patients enter three weeks before to a screening period when labs are checked and medical assessments are performed and then one week before randomization they are put with continuous glucose monitoring and we start recording their out-patient glucose values. Then a day minus one they come into the clinic and they spend several days in the clinic where we go even more carefully over their insulin doses, their glucoses and for the first time we gave them LX4211. This will be done in the expansion cohort and a randomized rate with either LX4211 or placebo and that will done in a carefully controlled setting, that will be done at breakfast with sequential measures of glucose immediately after the meal. We take further time during that in-patient stay to make sure that we have the right insulin regiment for the patients to enter out-patient period. So the patient is finally discharged and send totally in an out-patient setting with a usual activities, providing very careful data to the sides on glucose values. The patient then comes back to the clinics and terminates treatments on day 29, with an in-patient stay to make sure that if insulin needs to be restored it’s restored properly to their usual baseline regimen. On slide eight, we have an update of our ongoing renal impairment study. As described previously we are interested in this area because as a high prevalence of renal impairment in people who have type 2 diabetes. Also there is a high unmet need because some of the medications are contraindicated in the study. It's an opportunity for LX4211 to differentiate because SGLT2 selective inhibitors have limited benefit in renal impairment, but LX4211 and its meaningful SGLT1 inhibition could help patients through its unique mechanism of action. At our last earnings call we described the study having 20 patients and completing in the first half of 2013, we are seeing the opportunity with good enrolments to increase the sample size up to 30 patients with type 2 diabetes in moderate to severe renal impairments. We are taking advantage of this opportunity in order to provide more robust data to differentiate LX4211, but in particular we are interested in seeing a good enough sample of patients with more moderate to severe renal impairments, so that we can look at LX4211 activity across a broad range of levels of renal impairments. The patients are treated with 400 milligrams of LX4211 or placebo for seven days and have a mixed meal tolerance has to evaluate their impact on postprandial glucose. We are expecting to complete the study around the end of the second quarter and we will be able to provide results in the third quarter of 2013. On the next slide, we have our strategy for next stage development and commercialization of LX4211. We have a plant that we’ve assembled that takes into account the unique dual mechanism of actions of LX4211 through a temptation on both SGLT1 and SGLT2 with the good safety profile. That phase 3 program will involve a very broad population of patients with diabetes. We will look at our LX4211 alone or in combination with our agents. We have dedicated diabetes renal impairment study that we will plan based on the results of this initial renal impairment study, and we do plan to assess in more depth the opportunity in type 1 diabetes as part of our phase 3 activities. (inaudible) will be able to establish as well mechanistic synergy between LX4211 and DPP-4 Inhibitors; and the potential for LX4211 to be added onto other products. We are making sure that we have the potential to demonstrate cardiovascular benefits in the program and we still trying to initiate phase 3 with the corporate partner in 2013. On slide 10, I have an update on Telotristat etiprate a peripherally-acting serotonin synthesis inhibitor. As you know this compound is absorbent to the peripheral circulation, it does not cross the blood-brain barrier, it inhibits stricter anti (inaudible) and therefore reduces serotonin that's produced by carcinoid tumors. For the treatment of carcinoid syndrome we have Fast Track and Orphan Drug status and our Phase 3 trial in carcinoid syndrome is underway. We also have preclinical data to suggest potential utility in ulcerative colitis and a Phase 2 proof of concept underway for (inaudible). A little bit more information on slide 11 about our Phase 3 study in carcinoid syndrome. This is a single pivotal study with (inaudible) our placebo controlled treatment and dose of 250 mg and 500 mg, GID doses of Telotristat Etiprate which will have approximately 105 patients and will be oriented to ensure (inaudible) mix in patients with refractory carcinoid syndrome. Enrolment is ongoing. We are in the process of activating a large number of sites and the progress is going well. On slide 12 the telotristat etiprate we are in Phase 2 in ulcerative colitis. That proof of concept study is also looking at the safety profile of telotristat etiprate in these conditions. It’s targeting 60 patients with mild to moderate ulcerative colitis. We are getting close to the finish; we have over 50 patients in that study. So we will anticipate completion of enrolment in the second quarter and as previously discussed in some top line results in the third quarter of 2013. On slide 13 I have an update of LX1023. This is our next generation serotonin synthesis inhibitor, it’s locally acting, not absorbing to the drug stream and therefore its appropriate for irritable bowel syndrome that's a barrier predominant, IBSD. Our phase 2 trial is ongoing and we have fast track status granted by the FDA. On slide 14, are the most specific updates; we are targeting 360 patients for irritable bowel syndrome diarrhea. We have surpassed 300, so we remain on track with enrolments to produce top line results in the third quarter of 2013. And with that I will turn the call over to Arthur.
Arthur Sands: Thank you Pablo. As you can appreciate there’s been a considerable amount of progress and work done to move our pipeline forward into Phase 3, on these three leading programs that we discussed. The most recent I think new event is the good news about the ability to progress with safe profile into type 1 diabetes. Return to slide 16, this is our latest view of the results we can anticipate in the second half. We do see all of these results events occurring. The sequencing of them depends on the final stages of enrolment. But this is our current view as to the order in which we think we will be able to complete and release top line data. The first most probably being the ulcerative colitis data, and then we believe the renal impairment study should read out and then followed by the [IPS] study which consist of much larger Phase 2 program and finally we believe we should be able to get results by the fourth quarter for type 1 diabetes that (inaudible) just now moving in to that expansion phase of the trial. So all of these events, courses etcetera as I said are enrolment dependent, Pablo gave you the update. The numbers look good and we think we should be able to view these results events in the second half. So (inaudible) second half in front of us. So with that, I think we will move in to the financial report from Jeff Wade.
Jeff Wade: Thank you, Arthur. I will provide a brief financial update. As indicated in our press release today, we had revenues for the 2013 first quarter at $0.4 million, which was an increase of 20% from $0.3 million in the prior year period. Our research and development expenses for the 2013 first quarter decreased 12% to $20.3 million from $23 million in the prior year period. The decrease was primarily attributable to decreases in external manufacturing clinical research and development cost, facility cost and personnel cost. In connection with our acquisition of Symphony Icon, we made an initial estimate of a fair value of our liability for the base and contingent payments. Changes in that liability based on the development of the programs and the time until the payments are expected to be made are recorded in our consolidated statements of operations. The associated increase in fair value of Symphony Icon purchase liability was $1.3 million in the first quarter and $2.1 million for the prior year period. Our general and administrative expenses for the 2013 first quarter were $4.3 million, a decrease of 5% from $4.6 million in the prior year period. Our net loss for the 2013 first quarter was $26 million, or $0.05 per share, compared to a net loss of $29.9 million, or $0.06 per share in the prior year period. For the 2013 first quarter, our net loss included non-cash stock-based compensation expense of $2.1 million, compared to $1.7 million in the corresponding period of 2012. Finally, as of March 31, 2013 we had $197.2 million in cash and investments, as compared to $223.2 million as of December 31, 2012. Now, let’s turn to our forward-looking financial guidance for 2013. We continue to expect contractual revenues from existing agreements in 2013 of around $1 million. We are engaged in partnership discussions for LX4211 as you know, and are also in conversations about other potential collaborations and alliances. Consistent with our past practice however, we are not including forecasted revenue from potential new collaborations and alliances in our guidance. We continue to expect that our operating expenses in 2013 will be in the range of $110 million to $120 million. Non-cash expenses are expected to be approximately $16 million of that total, including the $7 million in stock-based compensation, $6 million an increase in fair value of Symphony Icon Purchase Liability, and $3 million in depreciation and amortization. Taking into account cash received under existing contractual relationships only, we continue to expect our 2013 net cash used in operations will be in the range of $92 million to $97 million. I should note that these operating expenses and net cash use expectations reflect cost and preparations we are making for Phase 3 development of LX4211 as well as certain supported common non-current core and clinical activities, but they do not reflect the cost into full scale of Phase 3 that had clinical trials for that program given our expectations of the partnership around those activities. I will now turn the call back to Arthur.
Arthur Sands: Thank you, Jeff. We can now take questions.
Operator: (Operator instructions) Our first question comes from Cory Kasimov [JPMorgan].
Matt Lowe - JPMorgan: It’s actually Matt Love in for Cory today. On 4211, if you could update on some of the partnership talks, the level of confidence you have that the partner being placed to 433 and maybe the potential timing of Phase 2 initiation? And then secondly, on the importance of the type 1 diabetes data, I guess how meaningful is that data towards ongoing negotiations? Thank you.
Arthur Sands: Jeff, do you want to start off with that?
Jeff Wade: I will take the first of that question. We are continuing to make progress in our partnership discussions and our objective remains to move into Phase 3 with the partner this year.
Arthur Sands: And the second part of the question was regarding type 1, Pablo would you like to address that importance to the data?
Pablo Lapuerta: Yeah, we recognize that this is only a few patients, but for us it’s really helped us develop addition for the product profile in type 1 diabetes and we are excited about that profile and we believe that LX4211 could offer improve glycemic control, reduce and some times on regimen and had patients spend less time in hypoglycemia. And we think that's relevant to people who are in development of agents for type 1 diabetes.
Arthur Sands: And then I think just the last part of that, half of that question Matt with regard to the implication for partnership, we've always -- we have viewed type 1 diabetes as an opportunity for Lexicon to take a lead role in a highly specialized indication. And so I think this is important in that regard because it does allow us to outline a path forward that having seen the initial safety and initial efficacy in three patients. We are able to move our program forward. So I do think it does have some important locations for our partnership opportunities and our ultimate commercial opportunities.
Pablo Lapuerta: I'd like to say one last thing, it’s -- the type 1 is very well suited for LX4211 because of the SGLT1 mechanism. Even though both mechanisms are insulin-independent and both could offer value to type 1 patients in particular by inhibiting SGLT1 in the GI tract, you reduce the absorption of glucose and therefore you have a reduction in post-prandial glucose and that we believe has an ability to reduce the needs for basal and type of bolus insulin in patients with type 1 diabetes around lower dosing. And I think that's a unique opportunity for LX4211 as a special thing.
Matt Lowe - JPMorgan: And then just a quick follow-up for the Phase 2 data for both UC and IBS, maybe if you could just briefly outline what you are looking to see in those readouts to consider the trials the success and so the drugs that represent differentiated products in those two indications?
Pablo Lapuerta: For telotristat etiprate and ulcerative colitis, one thing we have to keep in mind is that this is a proof of concept study of 60 patients, 25 on the high dose of telotristat etiprate, 25 on a lower dose and only 10 on placebo. And as a result, we don't expect a significant difference in formal comparison of treatment groups. What we want to see is we want to see a reasonable rate of clinical improvement and remission on telotristat etiprate with the high dose. We want to see -- we want to see overall a relationship between 5-HIAA reduction that telotristat etiprate provides and clinical improvements. The other question was about IBS I believe.
Matt Lowe - JPMorgan: Yeah.
Pablo Lapuerta: Yes, for LX1033 and IBS we have a primary endpoint of reduction in (inaudible) and that's based on our experience with this class. We believe that our data will be robust in order to test that and we want to see as well though a clear path forward for our biomarker. We've talked about the use of a biomarker in this setting and we want to be able to make a decision for Phase 3 and treating our subjects with the improvements and still consistency and other patient reported outcomes or do we this to, we will use our biomarker perhaps to evaluate continuity of treatments on to (inaudible).
Operator: Our next question comes from Phil Nadeau [Cowen & Company].
Phil Nadeau - Cowen & Company: First, could you give us an update on the carcinoid enrolment specifically does it still seem like the data are on track for 2014 in the Phase 2 trial?
Pablo Lapuerta: Yes, we believe we're on track to complete enrollment in 2014 for Phase 2 in carcinoid syndrome. We're still in part of active site startup and at the last earnings call I described a recent investigator meeting in Europe. Now, we're seeing a big bonus in European sites getting on board.
Phil Nadeau - Cowen & Company: And then second on the Phase 2 in type 1 diabetes, could you give us substance of what change in insulin would be meaningful in your eyes and also are you -- second related question, are you handing basal and short-acting insulin the same in primary endpoint or was special way put on the 2?
Arthur Sands: I'll handle that one. First, the primary endpoint is total insulin, but with respect to the significant, given bolus versus basal, I think given the unique mechanism of LX4211 as Pablo pointed out on the post-prandial glucose effect. I think we would anticipate bolus insulin will be more effective, which could have very positive implications for the lifestyle of the type 1 diabetic as they navigate their day. Now with respect to what significant, we're really not getting in to productions above the numbers yet, with regard to insulin use and what we could be considered significant because that of course has to be considered in context of what happens with glucose control. And so it's really both parameters when they look at in order to gain confidence about significant impact I would say on the disease. And then the last point being safety, this is a fairly fragile population with respect to insulin controls and so that also will be taking into account of determining overall significance. But I can tell you we are encouraged by the first three patients we have seen and you can learn a lot from those case studies and I think we have.
Phil Nadeau - Cowen & Company: Okay. And could you give us some sense of what reduction in insulin those three patients have?
Arthur Sands: Again we are not going to be quantifying it, because it's only three patients and we do think this trial will complete in really short order overall, and then we will be able to give you a better feel. And especially since the three patients were open label and I would be on baseline controlled versus real placebo-controlled, so we really can't give you quantification till we have that placebo group. But we needed through the open label to establish safety, so that we could run a placebo group side by side effectively.
Phil Nadeau - Cowen & Company: Okay. And one last question from me, thanks, may be update on the SGLT partnership, did you (inaudible) from the recent SGLT2 partnership that was signed and do you feel like the (inaudible) changed at all either because that partnership was signed or because of the advances in development that you had noted in the SGLT2 field since last call?
Arthur Sands: Jeff do you want to lead off on what we learn from the Merck (inaudible)
Jeff Wade: Yeah. I think that demonstrate greater acceptance of the SGLT mechanism. It does add another competitor to the selectiveness SGLT2 space. Also it appear that they are focused on third line combination therapy, and I would say that based on data that we have seen the profile that compound looks very similar to the profile of the other selectives SGLT2 inhibitors. I think clearly our compound with SGLT1 mechanism of action has a quite different profile and although we share SGLT2 mechanism, the effects of the SGLT1 mechanism for 4211 in a fundamentally different class.
Arthur Sands: I think the only thing I’d add to that is that those new deals has no direct impact on our [partition] process, although it most likely will have an indirect positive impact on our process.
Operator: Our next question comes from [Alan Car].
Unidentified Analyst: Now that you’ve got the cautionary trail well under way, can you give us an update on your sense of the commercial opportunity there?
Arthur Sands: Jeff, would you like to address that.
Jeff Wade: Sure, we think that there is a substantial opportunity, there is a significant area of need among carcinoid syndrome patients, they are treated now (inaudible) and principally in the US with octreotide and that provides benefit for some period of time, but then that benefit ceases to be (inaudible) and so a very high percentage of carcinoid patients in that not accurately control this (inaudible) and all therapy although they continue to live for a substantial time afterwards. So we think that opportunity there from the patient perspective is more than a half of the overall carcinoid syndrome population that is now treated with octreotide which as you know is a pretty substantial drug.
Unidentified Analyst: Any changes in the number of patients or anything like that. Any clues to that concerning that you are enrolling patients now and any surprises either way in terms of number of patients.
Arthur Sands: No I don't think. It’s early still, but I don't think that we have any surprises in terms of the population because we did have some good experience in two phase 2 trials both in the US and Europe.
Operator: Our next question comes from (inaudible).
Unidentified Analyst: Are there any oral meds for type 1 diabetes and do you have any thoughts about commercializing any of the pipeline. You had mentioned carcinoid syndrome before, can you give us your thoughts on that.
Arthur Sands: You want to take the oral meds in type 1 diabetes, that should be a short answer.
Jeff Wade: The answer is there are no oral medications for type 1 diabetes. That's why we believe this can be such a game changer and we are so excited about the opportunity.
Arthur Sands: [Lianna] there has been some work done with the [group] injectibles and I think in type 1 diabetes and there are some publications on that and so there is some efficacy of this whole (inaudible) mechanism to aiding insulin. Of course its another injection, and I do believe that perhaps its noteworthy that Novo-Nordisk has initiated a large phase 3 trial in type 1 diabetes with (inaudible) recently. So I think that's important again as an injectible but it is important in that SGLT1 mechanism sharing this (inaudible) pathway through an oral effect I think you know bodes well for the whole period of SGLT1 helping in the type 1 diabetes phase. Brian do you want to add anything about.
Brian Zambrowicz: Sure I mean canagliflozin and (inaudible) are also - and there are some studies being done in type 1 with those agents, however we think the primary utility of 4211 in type 1 diabetes as we've described comes from its SGLT1 mechanism and the profound post-prandial effect on blood glucose so I think it would again look very, very different.
Unidentified Analyst: And any thoughts on commercializing the pipeline yourselves, you mentioned carcinoid syndrome in the past.
Arthur Sands: Yes and we are still on that track and have that goal of commercializing carcinoid syndrome ourselves. I will say we have significant partnership interest as we've now moved into Phase 3 to help us in the process, but our goal is to commercialize that drug ourselves through very focused efforts I think a very realistic one, and then we would also like to consider in the specialty types of indications the ability for Lexicon to perhaps play some commercial role on type 1 diabetes, but we have to see a lot more data as (inaudible) through Phase 3.
Operator: (Operator Instructions) our next question comes from [Steven Willey].
Unidentified Analyst: I guess it’s certainly good to see the rest of pharma embracing SGLT1, but I'm just kind of wondering if at any point you have any kind of competitive intelligence on Novartis compound that you referenced which also looking kind of to replicate the dual [act] for the year.
Arthur Sands: Brian?
Brian Zambrowicz: Sure. So what we know is they had better capital on the select, the 066 in Phase 1 without identifying its method of action but we are recently on a conference call we indicated that that was a dual inhibitor of SGLT1 and SGLT2 and they’ve also instantly moved that in to Phase 2 clinical development and you can find that as clinical trials, but I think the key is that one of the most challenging aspects of SGLT1 inhibition is the keeping (inaudible) sustain admission to gastrointestinal track and that’s due to intrinsic nature of GI and it's materially a movement of materials along it constantly. And this is the problem that GSK ran in to with their highly selected SGLT1 inhibitors. They could not produce sustained inhibition of SGLT1 and that’s why keep my eyes on because 4211 has an unique attributes that allows us to produce sustained inhibition over the course of the day and we believe this will continue to differentiate LX4211 over SGLT1 or dual inhibitors move forward.
Unidentified Analyst: The (inaudible) compound is primarily excreted to the kidneys?
Brian Zambrowicz: There is no information on that yet.
Unidentified Analyst: And then I guess going back to an earlier question, how would you compare the post-prandial control you see with 4211 versus what has been documented as far with the [clip1] I guess? Is it relatively equivalent or do you think if there is other kinds of SGLT1 median efficacy that you had not seen entirely captured within the group data?
Brian Zambrowicz: I think it's generally relatively equivalent because they have primarily post-prandial effect but will really differentiate I think is in type 1 because without that insulin available with one there is going to be very limited in efficacy they can produce, because they require insulin to get their strong post-prandial effect. One of our strongest components on post-prandial factors are inhibition of glucose uptake from the GI. So I will go -- we will anticipate similar effect on post-prandial glucose in a type 2 and type 1 I think it's going to be quite different with 4211 looking very good.
Arthur Sands: That’s regarding the injectible items and I also think that being oral agents isn’t advanced I mean less injections I think are probably desirable to type 1 diabetic and constantly having that burden of injections.
Unidentified Analyst: Just lastly even if you have already have mentioned it, but the Phase 3 or the proposed, Phase 3 study they will be running in renal improvement patients would that be head-to-head versus an improved SGLT2 inhibitor?
Arthur Sands: Brian?
Brian Zambrowicz: At some point, I don't know and that’s fairly that it would be our first Phase 3 study in renal impaired, but I think I mean that is one of the proponents of the panel label that really stands out, is that they were approved only at a 100 milligrams in patients with GFR 45 to 60 and did not proved at all for below 45 GFR and importantly a 100 milligrams what they have reported is a 0.3% reduction in A1c and one the really nice thing about our Phase 2b is that suggested there are SGLT1 component of our mechanism alone produced a minimum of a 0.4% reduction in A1c. And so we think that in combination will be an additional effect with SGLT2 make sure that very attractive had to do it at sometime.
Operator: Thank you. At this time, there are no further audio questions.
Arthur Sands: All right, well thank you very much for participating and we look forward to keeping you updated in the future. Bye, bye.
Operator: Thank you. This concludes today's conference call. You may now disconnect.